Operator: Greetings. And welcome to the Gaming and Leisure Properties’ First Quarter 2023 Earnings Conference Call. At this time all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Joe Jaffoni. Please go ahead.
Joe Jaffoni: Thank you, Stacy. And good morning, everyone. And thank you for joining Gaming and Leisure Properties’ first quarter 2023 earnings call and webcast. The press release distributed yesterday afternoon is available on the Investor Relations section on our website at www.glpropinc.com. On today’s call, management’s prepared remarks and answers to your questions may contain forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. Forward-looking statements address matters that are subject to risks and uncertainties that may cause actual results to differ materially from those discussed today. Forward-looking statements may include those related to revenue, operating income and financial guidance, as well as non-GAAP financial measures such as FFO and AFFO. As a reminder, forward-looking statements represent management’s current estimates, and the company assumes no obligation to update any forward-looking statements in the future. We encourage listeners to review the more detailed discussions related to risk factors and forward-looking statements contained in the company’s filings with the SEC, including its 10-Q and in the earnings release as well as the definitions and reconciliations of non-GAAP financial measures contained in the company’s earnings release. On this morning’s call, we are joined by Peter Carlino, Chairman and Chief Executive Officer of Gaming and Leisure Properties. Also joining today’s call are Brandon Moore, Chief Operating Officer, General Counsel and Secretary; Desiree Burke, Chief Financial Officer and Treasurer; Steve Ladany, Senior Vice President and Chief Development Officer; and Matthew Demchyk, Senior Vice President and Chief Investment Officer. With that, it’s my pleasure to turn this call over to Peter Carlino. Peter, please go ahead.
Peter Carlino: Well, thank you, Joe. And good morning. We are happy, of course, to report another very positive quarter as well outlined in our release yesterday. As always, I think, our team has done a very thorough job of giving you all the information that you would want, it is very well encapsulated there. But I’ll highlight a couple of things and then, of course, turn the floor over to Desiree and to Matthew. I’m happy to say that through this quarter our stock price hit its highest level ever, but we’ll be back there soon. And our dividend was at an all-time high as well. So we’ve been very successful in achieving most of the goals that we’ve had. And this success has been accomplished against the backdrop of turmoil and pretty rough going for many in the market today, which I hope underscores what we’ve been saying for many, many years, the gaming revenues are incredibly stable, and that’s reflected in our performance even in tough times. There are a number of significant achievements this quarter, but I’m going to leave those to Desiree and Matthew to share. And then, of course, will be directed by your questions. And I should say that while nothing is certain, I think, that we believe that the balance of 2023 should prove to be a very good year for the company and for our shareholders. And with that, Desiree, you are on.
Desiree Burke: Thanks, Peter. Good morning. We reported yet another quarter of record results for our first quarter of 2023 and our total income from real estate exceeded the first quarter of 2022 by over $40 million. This growth was driven by the addition of the Bally’s Black Hawk and Rock Island as well as the Biloxi and Tiverton properties, which drove an increase in cash rental income of $15 million. The quarter’s live transactions increased cash rental income by approximately $8 million and the Trop LV land lease created cash rental income of $2.6 million. The recognition of escalators and percentage rent increases on our leases also added $4.7 million of cash rent and then we had a combination of higher noncash revenue gross up, investment in leases and straight-line rent adjustments, which drove a collective year-over-year increase of approximately $9.7 million. Our operating expenses declined by $26.8 million, but that is primarily due to noncash items such as the reversal of prior period provisions for credit losses on our Cordish leases, resulting from improved property performance partially offset by an increase in depreciation expense, primarily related to our recent transactions. We continue to see strong rent coverage across our leases and from a balance sheet perspective, during the first quarter, we settled the forward agreement and issued 1.3 million shares, raising net proceeds of $64.6 million. We used these proceeds to partially fund the redemption of our $500 million 5.38% notes, which were coming due in November 23. Our leverage is now under five times EBITDA. Our $1 billion aftermarket program remains unused as of today. We’ve refined our full year guidance for 2023 for AFFO per diluted share in OP units to be ranging from $3.63 to $3.67 per diluted share and OP units. Please note that this guidance does not include the impact of future transactions. With that, I will turn the call back to Peter.
Peter Carlino: And I won’t keep it for long. Matthew?
Matthew Demchyk: Thanks, Peter. And thanks to everyone for joining us this morning. It’s certainly been interesting how increasingly unpredictable macro environment has been. Amidst this backdrop, the stability of regional gaming cash flows continues to hold up while other real estate sectors are experiencing meaningful secular and economic challenges. The relative track record continues and the institutionalization of our asset class is as justified as ever. At GLPI, we have worked hard to prepare for this environment. Our focus on stability and dependability continues to show in the consistency of cash flows, which we worked tirelessly to protect and perfect. Nowhere is this more evident than in our PENN lease restructuring. We will continue to seek opportunities to improve the quality of our leases cash flow. In addition, after a few years of playing the long game with a focus on deleveraging, our balance sheet remains purposefully conservative. We respect its role as the foundation for all that we do. In addition to managing debt to EBITDA under the high 4s, we also managed a staggered maturity profile with our next maturity not due until September of 2024 and close to $1.7 billion of available liquidity. We continue to be positioned to pounce on attractive opportunities as we see them. Headwinds in the banking sector have set the stage for a more robust and wide-reaching dialogue with potential counterparties. Lending costs and bank relationships that used to be more predictable could be less so over the coming months and years and that reality is not lost on the folks that we talk to. We’ve always been a dependable capital partner, one that our partners can be confident and get to the finish line. And in the current backdrop, the value of that dependability has gone up substantially. And I make that comment for both our current tenant partners and also for new potential partners. GLPI is built to last. The reality of that is widely appreciated. Our unique structure, including our access to multiple capital sources makes us an ideal choice for counterparties that want not just a transaction but a bespoke financing solutions which is our specialty. Our partners want not only to solve their current needs, but often to have a partner who can predictably continue to meet those needs well into the future. As we move forward with our strong and sound financial foundation, we remain focused on improving what we have and unearthing new opportunities for the prudent deployment of our shareholders’ capital. With that, I’ll turn the call back to Peter.
Peter Carlino: Thank you, Matt. I think it says it pretty well. Stacy, would you open the floor to questions?
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] First question, Greg McGinniss with Scotiabank. Please go ahead.
Greg McGinniss: Hey, good morning. So Peter, in your opening remarks, you touched on the stability of gaming revenues, but you kind of also saw rent coverage ratios decline across the board this quarter. In your view, are we seeing the beginning of a trend or maybe more of a normalization following the pandemic? And are there any leases where escalators might be more at risk?
Peter Carlino: The quick answer is that the movement has been very, very small in a long, long way, given our coverage from any threat to us. I mean, I guess the point I’d make kind of not so subtly is no matter what happens, we get paid. And so we see absolutely no threat on the horizon. Des, you wanted to comment?
Desiree Burke: Yes. Our rent coverage ratios are still well above the 2019 pre-COVID levels. And so we feel they’re still very strong for our collection of rent.
Peter Carlino: And look, you’re going to have to hit disaster before we don’t get paid. So for obvious reason, don’t get rent, you don’t open the front door. So I can’t think of anything further from – and listen, the one point I’d make, and we do talk about this internally, I’ve been at this for a very long time, and I can tell you absolutely, having – I used to say in talking with many investors that gaming revenues were solid as the rock, but it would take an atomic attack to threaten our revenues. Well, we had that in the form of the equivalent of a neutron bomb that shut down the country. We and our contemporary companies all got paid. So I don’t know what it takes to make clear that people just do not give up their entertainment. So enough said, I think the proof has been well identified.
Greg McGinniss: Okay. Thanks. And then just a bit of a multi-parter on development. Could you please provide an update on Hollywood Baton Rouge, expected total cost spend to-date. And then we also saw a news article on Belle of Baton Rouge being approved for $91 million renovation after a $35 million renovation was announced late last year. Are you taking part in that investment? And then with all this investment going on in Baton Rouge, do you have any thoughts on the market, whether customer demand can support and justify those investments?
Desiree Burke: So I’ll start with Baton Rouge, and we at GLPI have about $31 million in cash left to fund. And with that, I’m going to turn it over to Steve to talk about the other projects that you’re asking us.
Steve Ladany: Sure. Yes, I think your second part of your question was with respect to the Belle of Baton Rouge. We do own the land and building at the Belle, and Casino Queen is our tenant there. We have had ongoing dialogue with them. They’re also the tenant in the Hollywood Casino Baton Rouge property that you just asked about previously. So we have ongoing dialogue with them. We are always looking for ways to be supportive of not only them but all of our tenants. And we are going to continue to have dialogue around that project, and we’ll provide an update once we have something to definitively tell you.
Peter Carlino: Yes. Let me add that things are moving pretty well in the Hollywood Baton Rouge landside project. There have been difficulties along the way in just getting materials, which we all are aware of on a national basis, trying to get HVAC equipment, for example, is tough. All that being said, I think we have visibility on an early – well, let’s just say safely, we’re targeting September as a probable date barring any equipment that doesn’t show on time. So that project is well along and looks terrific, by the way.
Steve Ladany: With respect to depth of market in Baton Rouge, we feel very confident and comfortable with the marketplace there. It’s obviously a city that has a government presence and a state university. And so it’s actually a growing demographic. We feel very good about the longevity of the market there.
Greg McGinniss: Okay. So definitely the total spend on Baton Rouge, that’s still well, I think $70 million from the last call?
Desiree Burke: Yes. It might be just a slight higher, but it’s about $70 million. That’s right.
Greg McGinniss: Thank you.
Operator: Next question, Smedes Rose with Citi. Please go ahead.
Smedes Rose: Hi. Thanks. I just wanted to ask you a little bit of as you assess potential opportunities in the marketplace, have you seen any changes and who else is also looking and just in terms of competing with maybe more traditional sources of capital. Do you think you might be at a relative advantage here just given what’s going on with some of the issues that we’re seeing across the regional banks or just kind of interested and maybe if you could just speak to that broadly.
Peter Carlino: Well, I think the quick answer is I think we are, but Matt, you look like you want to add to that?
Matthew Demchyk: Yes. I mean, we mentioned last quarter, and I think I mentioned a little in my prepared remarks, that the banking evolution in that environment has changed the availability and cost of funding. And if you look at the private equity folks that started to poke around, certainly their business model is not as robust as it was and they’re not as competitive as they were. And Peter’s intro underscored, we’ve got access not just to debt like others, but we’ve also got access to common equity, the OP units, which we’ve used to good effect. So you put those things together and our total cost to capital relative to the competitors, and we’re in a lot stronger relative position now than a year or two years ago compared to other folks. And I suspect if things stay the way they are, we won’t see a lot of new folks trying to push in to the space. The only wild card is some of the other public companies, we’ve certainly heard interest verbalized from others for a little while now. But remember, if we’ve got the relationships we’ve have and the leases we have, as large as they are, we’re the best buyer of assets for the tenants you see in our earnings release to look through the names. So we’re well positioned and we hope to use that to find new opportunities.
Peter Carlino: Yes. And sticking my neck out, we’ve got a number of interesting things in the shop here that we’re working on. You got to bring them over the finish line, but we think the market’s for us is in a pretty good place.
Smedes Rose: And in terms of just kind of overall, I mean, it sounds like you’re assessing a number of opportunities which you’ve talked about I think on the last call as well. I mean, is it the sort of potential deal flow, has that been relatively steady or has it picked up? Or just kind of curious, if people are interested in, because as you mentioned on your opening remarks, in other sectors we’ve seen definitely decline in transaction activity. And I’m just kind of wondering if you guys are seeing that as well.
Peter Carlino: Certainly hasn’t cut enthusiasm for gaming. Steve, do you want to take that?
Steve Ladany: Yes. Look, I think it goes without saying large scale M&A has clearly slowed. The credit market impact along with adjustment needed for valuations has caused a little bit of a slowdown on that front. But with respect to strategic one-off type property transactions, those are still plentiful and people are still looking to enhance their portfolios. Whether that means a divestiture of an asset to someone else or an addition of an asset that could be strategic. I think we’re seeing plenty of deal flow, whether it be on the greenfield side with respect to states like Illinois, Virginia, and New York, which are expanding or even, simply construction and redevelopment of existing properties like we’ve already announced with PENN and like we’re doing in Hollywood Baton Rouge. So there continues to be plenty of deal flow. It just might be in slightly different buckets than it has been in years past.
Smedes Rose: Thank you. I appreciate it.
Steve Ladany: Thank you.
Operator: Next question, Todd Thomas with Keybanc Capital Markets, please go ahead.
Todd Thomas: Hi. Thanks. Good morning. I guess just following-up with that line of questioning, in the discussion around GLPI as a financing solution in the current environment. Have you changed your return hurdles at all when underwriting new deals? I mean, how are you thinking about the appropriate spread that you need, the amount of accretion that you’re looking for in new investments here?
Brandon Moore: I mean, we haven’t changed our approach at all. We need an appropriate spread, but that really varies by opportunity. I mean, it’s a function of the risk of the specific opportunity, the market. So you should continue to watch us think about things the exact same way. And it may take different forms as we figure out how we, again, try and create solutions compared to banks or others not being there the way they used to be. But you’ll have to stay tuned to see where we end.
Todd Thomas: Okay. And then I guess a question about Bally’s Lincoln where you have an option through 2024 that may or may not happen. You have a predefined lease yield. How do you think about funding or maybe pre-funding that potential investment today or in the near-term where you can lock in your cost of capital, lock in that spread versus the risk of waiting to see where your cost of capital trends over the next several quarters? How do you sort of think about that and weigh your options?
Brandon Moore: Well, Todd, when we did the original equity raise around this broader announcement, we raised enough equity to be able to have either path work from a debt to EBITDA perspective. So we’ve effectively pre-funded a majority of the transaction if you look at where our leverage is right now. I mean, incrementally we’ve got locked in a term loan that we can effectuate a closing. So the actual cash would come from that in large majority.
Desiree Burke: Yes. So the Bally’s transaction, that transaction would actually have to be funded through our bank debt, through our credit agreement. We have a revolving facility that we’ve tagged a piece because we have allowed Bally’s to guarantee our debt if we do that transaction. So I think the real answer to your question is probably, we’re at a wait and see, we’ll see what the markets rates drive that is at our option. If for some reason our pricing did not look accretive for GLPI, we would make that assessment at the time, but assuming it is, we would be using our credit agreement in order to effectuate that transaction.
Todd Thomas: Okay, great. All right, thank you.
Operator: Next question, Barry Jonas with Truist Securities, please go ahead.
Barry Jonas: Hey guys, good morning. Maybe just put out some details on its plans for the UAE. Curious to get – to see if you have any thoughts on that market or maybe any other international markets where you could see potential future involvement for GLPI? Thanks.
Peter Carlino: Steve, do you want to take that?
Steve Ladany: Thanks for the question, Barry. I mean we’ve obviously seen some transactions come across in Canada more recently. We do continue to look internationally. We have not taken a deep dive on the UAE. But with respect to each of these international opportunities, we do spend a bunch of time to better understand not only the legal regimes and set up both in the government that will be transacting in. But more importantly, the tax arrangements and how that would impact any type of transaction economics that we would potentially pursue. So we have – we will continue to look internationally. We have an interest in expanding internationally, but it’s on a country-by-country basis and a deep dive of analysis.
Barry Jonas: Got it. And then just as a follow-up, I wanted to touch on Trop. Not sure how much you could say, but the word is that the A’s [ph] have selected another site for a baseball stadium. So is it sort of back to square one for large-scale developments there? Or are there still options being discussed that you think could involve a transformation of your asset there?
Steve Ladany: We can’t – yes, just to be clear, we can’t speak to what Bally’s does or doesn’t intend to do with the site. And we’ve read the same articles that you’re referencing with respect to the A’s acquisition of some land from the [indiscernible]. But as far as how that all plays out and where it all goes, we don’t have an ability to state anything on that front.
Barry Jonas: Got it. All right. Appreciated. Thanks so much guys.
Steve Ladany: Thank you.
Operator: Next question, Daniel Guglielmo with Capital One Securities. Please go ahead.
Daniel Guglielmo: Hi everyone. Thanks for taking my questions. The first one is on the Cordish Live! casinos. It looks like those casinos have been taking market share in their respective cities, just based on state gaming data and also the allowance balances that you all have been reporting. It seems like they found a recipe for what the new gaming generation wants. So now that it’s been a year, how do you all think that relationship? How big do you all think that relationship can get over the long term?
Peter Carlino: Right. Look, we’re very optimistic about that. Look, these guys are really good operators just playing flat out good. I have been on the floor when David Cordish himself is on the floor for promotions and the like, basically giving away money. It is very impressive to see how personally involved, he, his sons, team are involved in their properties. It’s incredible. Frankly, it is incredible. So we think the opportunity is tremendous going forward. We stay very close with them. We want to do more with them. And I think I can’t speak for them, but I would hope and expect that they’d like to do much more with us as well. So that’s a very, very positive thing. They are terrific operators.
Daniel Guglielmo: Great. And then the second one is just – so only a few operators have reported. But there was some mention about some softness in Louisiana and Mississippi. You guys don’t have that much exposure there, but there is some in the Pinnacle lease, and I really appreciate the coverage ratio disclosures by lease. But it does look like that’s trended down slightly over the last few quarters. Any comments on what you think is going on there for those markets and how those will evolve over the next few years?
Steve Ladany: Well, as you know, we don’t get by property information from the tenants. But in our dialogues with our tenants holistically, we’re getting the sense that the market as a whole the domestic U.S. has been holding up and relatively flat in line from a year-over-year perspective. So, I think that, that might be a regional phenomenon that hit in one quarter. I don’t get the sense from any of our tenant discussions that people are running for the hills or there’s any type of hysteria around some of the quarterly trends. But I do feel like people feel very comfortable about the state of the gaming market domestically.
Daniel Guglielmo: Great. Thank you.
Operator: Next question, Haendel St. Juste with Mizuho. Please go ahead.
Haendel St. Juste: Hey good morning out there. So, I found your comments earlier on the stability of gaming and mitigating balance sheet risk during this period of uncertainty interesting. So, I was hoping you could talk about risk. But more holistically and how you’re thinking about managing risk in the current environment of more restrictive debt availability, the macro uncertainty and how that could be impacting not only how you’re thinking about managing the balance sheet, but incrementally riskier investments like development, maybe mez [ph] lending within gaming and also potentially how you’re considering investing potentially outside of gaming? Thank you.
Peter Carlino: Well, first, I would say that every transaction is a one-off and looked at market-to-market, sponsor-to-sponsor, what you might do with one on – in a master lease, strong operator might be different from something you do on a one-off in some other market. I mean one advantage for us and this team is that we’ve been in this business for a very long time. I’d like to think we have a pretty good understanding of the business, its risk, the competitive set and so forth. So it’s deal by deal. And our concern is the same that you’ve raised. Are we going to get paid. It’s as simple as that. So Matt, do you want to add something to that?
Matthew Demchyk: I mean at a high level, you know Haendel, we’ve got really a commitment to investing with caution and focusing on a margin of safety. And that means if things go the way we think they will, we’re good. And if things don’t go the way we think they will, we’re still in good shape. And we’ve been in a really frothy market for a long time. There’s been mispriced risk in a lot of places. And you brought up outside of gaming. It’s kind of been a double hurdle if you had gaming, not trading where it should based on our view of it, and then everything else outside of gaming trading probably more expensively than it should. So things haven’t lined up yet, looking for durable, predictable cash flows outside of gaming. But we keep looking. We’ve got deep relationships. And to the extent something makes sense, we’ll move forward on it. And we continue to use tools, too. You look at what we’ve done to date. We’ve got master leases that give us really protection from known unknowns when you think about either macro, micro risks, new licenses, et cetera and also layering on corporate credit protections, operator selection, et cetera. We’ll continue to use that same mentality as we assess new opportunities.
Haendel St. Juste: That’s helpful. Thank you. I’m curious, what’s the current house view on investing in tribal? And how would you get comfortable with that if you couldn’t own the land?
Peter Carlino: Well, that’s actually a good question. I mean, look, we and probably everybody else in the gaming business has been looking at tribal for years. I’m going to let Brandon, who’s been silent so far, speak a little bit about that. We spend a lot, a lot of time [indiscernible] underscore, looking at tribal opportunities and giving thought to how can we protect ourselves to the degree we might get involved. Brandon, you want to put some color?
Brandon Moore: Yes, I’m happy to. I mean, I think when we – when you think about tribal gaming, there’s obviously two different types of tribal gaming. There’s the commercial side and then there’s the side that you’ve focused on where the land is held in trust with the government. And I think that has been the challenge for us and others that have sought to invest in tribal gaming on trust lands. I think that over the course of the last decade or so, the protections in place for banks and others have become more routine and robust. And so I think that you have to look at those markets and see and look at those protections and see if you can port those over to the real estate – long-term real estate ownership model. I don’t know that anybody’s perfected that yet. I’m not – I think it is possible. And I think it depends on the tribe. I mean there are a lot of very unique tribal situations in trust land across the country and each of them is a little different. And so I’m optimistic that is a wheel we can round, but I don’t think we’ve done it quite yet.
Haendel St. Juste: That’s helpful too, Brandon. I guess can I ask you, since you’ve been looking into it. Is there any historical data that you’ve been able to see? I’m curious, I think a lot of us is curious how tribal assets perform during economic downturn? Certainly understand the stickiness of, to say more the – more regional gaming assets. But curious about the history of tribal as well as, I guess, I’m curious is there any history between Penn, has Penn ever really invested or had much relationships or history with tribal? Thanks.
Brandon Moore: If we start from the last question, you may recall that Penn did manage a facility for a tribe in Canada and that was a very successful relationship and operation. Penn had a less successful relationship with the tribe outside of San Diego with the Jamul [ph] Tribe, where they developed a beautiful facility for that tribe several years ago. I think that this goes back to depending on tribe by tribe and situation by situation. As far as the tribe’s performance during COVID, I haven’t seen anything specific and others here can certainly chime in if they did. I think generally they performed similarly to the other regional casinos, because keep in mind a lot of these tribal casinos that are held in trust land are in states like California, Oklahoma, Florida, where there aren’t commercial facilities around. So those really are the commercial facilities for the population densities in those states. And so from what I have seen, I think that their experiences were very similar to the commercial casinos that you see out there today.
Haendel St. Juste: Great. Helpful. Thank you.
Operator: Next question, David Katz with Jefferies. Please go ahead.
David Katz: Good morning, everyone. Thanks for taking my questions. I wanted to just get a little broader color on what the opportunity set of deals is looking like, right? The presumption is last nine months, the world has changed, cost of capital has gone up and specifically whether new developments are just far less available and or whether there’s shifts in the financing and refinancing market that may be bringing opportunities your way in some increasing numbers that’s just getting a sense of what your flow looks like?
Peter Carlino: Let me suggest this. And this is my personal thing. We haven’t talked internally. My sense is as much interest in developing gaming facilities today as there was at any other time. I have not noticed any sense. I have no sense of diminution of interest . Gaming, as I say again and again is in a class by itself. And Steve, you’re at this day to day.
Steve Ladany: No, I think that’s completely accurate. I mean, there are some – look, there of course there are some development projects that seem like they’ve been kind of floating around for years that’s not correlated to the state of the credit markets. That’s correlated to the underwriting opportunity. So I think from a credit market perspective, I think Matt hit on it in his opening remarks. The traditional banks have tightened to purse strings. The typical lender you could go to and end up with less than optimal rates. They’re still around, the rates are even further less optimal. And then there became this middle open ocean area where anyone that has a cost of capital and is willing to roll up their sleeves and try to underwrite might be able to play. And so I think, we are no different than others that are sitting in the same seats as we are. I’m sure all of us are getting similar phone calls from folks that are trying to figure out how they can get their projects financed and off the ground. So we’re seeing plenty of opportunities, some are interested and some are not. And it all depends on a by project, by property underwriting process.
David Katz: Got it. Perfect. Thank you.
Operator: Next question, Ronald Kamdem with Morgan Stanley. Please go ahead.
Ronald Kamdem: Thanks so much. Couple quick ones. Just – so starting just on the leverage. If you think about just how much cash flow the company is generating, where do you think you’re going to end sort of 2023, and going into 2024 on a leverage level, because we can get to sort of the 4.7, 4.6s [ph] range, curious where you guys are thinking?
Desiree Burke: Yes, given our current guidance and again, assuming no transactions. We still expect to end around the 4.8 [ph] range net leverage.
Ronald Kamdem: Great. And then on the guidance, just can you be specific on what drove that $0.01 bump? Is it core NOI, is it interest income? Just what was the change there?
Desiree Burke: Yes, so the average interest rate assumption that we used in our guidance on the low end came in better than what we had expected. And then the average interest rate that we use on our high end, it’s not better than what’s in our high end. So it is really related to interest in general.
Ronald Kamdem: Excellent. And then the last one, just another one on the Bally’s transaction. I think two pieces to it. Number one, is there any sort of timing, any event that we should look forward prior to that December 2024 deadline. That’s going to let us know whether it’s more or less likely is number one. And then number two, given the events of the past sort of month, month-and-a-half months in terms of getting the lender consent, does that – does anything change there? Is it more likely, less likely? Like, just trying to get a sense of how we should think about the impact of the past month and month-and-a-half months on potential scenarios here? Thank you.
Peter Carlino: Thank you. Steve, go ahead.
Steve Ladany: Sure. With respect to the timing goes, look, I think we will continue on a quarterly basis to try to provide whatever updates we have available to us. And certainly, we’ll keep you apprised. Whenever we actually hear from them that there is an opportunity to effectuate the option, we’ll make our decision. It’s got to be timely. And we’ll be back to the marketplace, either informing you that we’ve announced and signed up the deal or that we’ve decided to pass on it. So I think one way or another, you’ll be up to date with that. With respect to the recent credit markets, how that may play into what’s going on. Look, I think the reality is they’re most likely going to end up needing to refinance their credit facility to create an opportunity to remove the language that’s prohibiting them from selling that asset. So I don’t foresee the easier path being through a lender consent, but again we’re not involved in their dialogues with their lenders. Those are – their discussions with either their current lenders or maybe future lenders if they were to pursue a refinancing. So we’re kind of sitting here anxiously awaiting some kind of movement on that front, but that would be the – that would be my perception of what the easiest path forward would be.
Ronald Kamdem: Great. Thanks so much.
Operator: [Operator Instructions] Next question comes from John Decree with CBRE. Please go ahead.
John Decree: Hi. Good morning everyone. Thank you for taking my question.
Peter Carlino: Good morning.
John Decree: Matt, you had an interesting comment in your prepared remarks about some of the stress that other real estate asset classes are seeing, whether it’s economic or secular or banking related. But kind of highlights Peter’s point all the time, it’s just how durable the gaming business is. So a broad question for whoever wants to take it is, as we see stress in other real estate asset classes, are there any implications, good, bad or indifferent for your business? And I realize that’s kind of broad. So maybe the more specific question is have people from outside of the gaming industry who need capital have been reaching out to you guys, given your position? Or have you seen other pockets of institutional capital that haven’t traditionally looked at gaming assets step in? And have you kind of started the cross paths with maybe some additional competitors that are looking for new types of investments. So kind of broad, but kind of seeing if there’s more or less players or any implications that you’ve seen yet?
Peter Carlino: Well, a quick answer is, look a lot of people look enviously at where we are. I can’t say I blame them, but getting here is not as easy as some have found. Matt, do you want to address that one?
Matthew Demchyk: Yes. Look, we’ve now added a few years of track record, and that’s certainly something on a relative basis that stands out compared to other asset classes in real estate. Thinking back to financial crisis, and how things got treated, banks very quickly re-categorize how they look at real estate, and they’re licking their wounds, and it’s not a position where they’re really aggressively lending into and that tends to impact all real estate. So to the extent something like that happens again, it makes us that much more attractive as a solution because we’ve got money. We pretty fairly priced in this environment, and we’re ready to go, and you can count on us. So that should work to our benefit. And yes, there have been some incoming from folks we’ve talked to for a long time where the bid-ask gap has been incredibly wide around where we would be able to do something and want to do something and what they’re looking for. And now it’s tighter. We’re not there yet or you would have seen an announcement. But certainly, we’re being looked at as an alternative a lot more realistically than we were historically or even things outside of gaming and for the development loans Steve talked about. So the world is moving in our direction in that sense. But I think we need to season this environment a little more too before you see a whole lot of volume. Everything has happened kind of quickly and things still are in a state of flux. So I don’t think – if someone’s planning their business for the next 10 or 20 years that they’re going to look at a spreadsheet and confidently plug in something and say, hey we’re going to use you because you’re better than something. But we seem to be getting there, so let’s watch over the next couple of few quarters and see what falls into place.
John Decree: That’s good additional color. Thanks everybody.
Peter Carlino: Thank you.
Operator: Next question, John Massocca with Ladenburg Thalmann. Please go ahead.
John Massocca: Good morning.
Peter Carlino: Good morning, John.
John Massocca: Maybe speaking Matt’s comments on kind of bid-ask spread. I know you talked about it in terms of non-gaming assets. But has there been any kind of movement on bid-ask spread, if you will, for gaming investment opportunities over the last couple of months or quarters?
Peter Carlino: Go ahead, Steve.
Steve Ladany: I think on the buyer side, yes, and on the seller side, not quite yet. So look, I think people are still anchored into valuations that were – that let’s be honest, 12 months ago, right? Valuations were in a different place, credit markets were in a different place, it hasn’t been that long that the kind of the credit markets have been materially changed. So I think – look, I think on the seller side, I think from a valuation perspective, people are still seeking what they knew was a potential reality not too long ago. I think from a buyer side, people are realizing that, that means they have to put a current day credit market cost into their math and in some cases, people’s equity prices are down to. So I do think there’s a little bit of a disconnect, and it really comes down to, is there a strategic rationale that allows someone to kind of look beyond the short-term perspective and take a longer view. And in some cases that might come to fruition and others, it might not. So I think that’s where we find ourselves at the moment.
John Massocca: Okay. And then outside of PENN where you obviously have a deal already in place, what is the broad appetite of either current tenants or even new partners for development funding at existing assets? And is that a major part of the investment conversation today or your talks more focused on kind of de novo deals?
Steve Ladany: It’s a constant ongoing dialogue. Many of our tenants are constantly doing projects. I would tell you that I feel like more of our tenants are starting to reinvest in their properties through capital improvements and focus on the properties they own, whether it be hotel remodels, and things of that line. So we are in kind of a constant dialogue with them around our desire and willingness to help fund those projects. They sometimes will pursue our financing and other times, we’ll finance the projects themselves. But that’s an ongoing dialogue that has continued, and I actually think that people are starting to put more dollars to work into the properties in the recent months.
John Massocca: Okay. I know it’s kind of bespoke deal-by-deal, but is there kind of a broad sum return hurdle difference between what you would do for those kind of developments at existing assets versus kind of straight acquisition sale leasebacks?
Steve Ladany: No. Look, I think we’re trying to see accretion in all transactions. So we we’re not offering sweetheart dilutive transaction pricing to folks for doing projects inside the buildings we already own. So we’re constantly trying to make sure that we’re being good stewards for our stakeholders and trying to earn an accretive return. But it depending on the time of the market and where we sit, our accretive financing may, in fact be still appealing to where someone might have to go raise capital.
John Massocca: Great. That’s it for me. Thank you very much. 
Peter Carlino: Thank you. 
Operator: Next question Chris Darling with Green Street. Please go ahead. 
Chris Darling: Thanks. Good morning. I’m hoping to get your perspective on the recent acquisition of Diamond Jacks in Bossier City by Cordish. Is this a project you’d like to get involved with potentially in some capacity? And then additionally, just any thoughts you have on the market’s ability to absorb the incremental supply over time?
Peter Carlino: Steve, I’m going to let you stick with that one.
Steve Ladany: Look, I think – we’ve talked to Cordish about the project. They seem very excited about the project and the opportunity. So of course, we wish them the best of luck with that. As far as the market goes, I think, that marketplace did support that casino previously. There have been some issues in Shreveport due to the smoking ban over there. So Bossier has reaped some benefits. I think that marketplace is clearly able to absorb an additional competitor for now. But I do continue to wonder what might come if there is gaming expansion in Texas.
Chris Darling: Got it. 
Peter Carlino: They’re very bullish about this project. They genuinely are. We haven’t talked about anything past that, but they are obviously committed. And as I said earlier, they’re terrific operators, so I would never bet against them. 
Chris Darling: It’s helpful. And I guess speaking of their acumen as operators, just switching gears a bit, the Live! Maryland lease, I believe this is the first time you’ve disclosed the rent coverage there at that property. And just given how healthy that coverage level is, I’m curious to understand how that kind of compares to maybe what you originally underwrote when you acquired that property.
Desiree Burke: Yes. So they’re right at two times, which is...
Peter Carlino: Maryland.
Desiree Burke: Maryland, sorry, Pennsylvania is two times, yes. So they are actually performing better than what we underwrote at the time. But we – it’s what we expect. There’s nothing – we’re happy with it, obviously, clearly, but we did underwrite the two properties kind of looking at them together. The acquisition, the relationship with Cordish not just one lease at a time.
Matthew Demchyk: Yes. But we originally on a pro forma basis, we’re looking at 2.6, if you recall. So this is a really strong outcome for that property.
Chris Darling: Yes. Fair enough. Appreciate the time. 
Peter Carlino: Thank you. 
Operator: Thank you. I would like to turn the floor over to Mr. Carlino for closing remarks.
Peter Carlino: Well, it sounds like we’re at the end. So I thank you all very much. I hope you leave with the idea that we’re pretty excited about what we see ahead this year and hope that we can deliver some very positive news as we meet next quarter. So thanks again. Have a great day. Thanks, operator.
Operator: This concludes today’s teleconference. You may disconnect your lines at this time and thank you for your participation.